Operator: Good morning, and welcome to the CONSOL Energy's Fourth Quarter and Full Fiscal Year 2022 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today's presentation there will be an opportunity to ask questions. [Operator Instructions] Please note that this event is being recorded today. I would now like to turn the conference over to Nathan Tucker, Director of Finance and Investor Relations. Please go ahead, sir.
Nathan Tucker: Thank you and good morning everyone. Welcome to CONSOL Energy's fourth quarter and full fiscal year 2022 earnings conference call. Any forward-looking statements or comments we make about future expectations are subject to risks, certain of which we have outlined in our press release and our SEC filings and are considered forward-looking statements within the meaning of Section 21E of the Securities Exchange Act of 1934. We do not undertake any obligations of updating any forward-looking statements for future events or otherwise. We will also be discussing certain non-GAAP financial measures, which are defined and reconciled to comparable GAAP financial measures in our press release and furnished to the SEC on Form 8-K, which is also posted on our Web site. Additionally, we expect to file our 10-K with the year-ended December 31, 2022, with the SEC this Friday, February 10. You can find additional information regarding the company on our Web site, www.consolenergy.com, which also includes the supplemental slide deck that was posted this morning. On the call with me today are Jimmy Brock, our Chief Executive Officer; Mitesh Thakkar, President and Chief Financial Officer; Dan Connell, our Senior Vice President of Strategy; and Bob Braithwaite, our Senior Vice President of Marketing and Sales. In his prepared remarks, Jimmy will provide a recap of our fourth quarter and full-year 2022 achievements and a detailed discussion of our operations and sales. Mitesh will then provide an update on our balance sheet management, financial performance and 2023 outlook. In his closing comments, Jimmy will lay out our key priorities for 2023. After the prepared remarks, there will be a Q&A session in which Dan and Bob will also participate. With that, let me turn it over to Jimmy.
Jimmy Brock: Thank you, Nate, and good morning everyone. Let me start by congratulating Mitesh on being named the new President of CONSOL Energy as part of our long-term succession planning. I have worked very closely with Mitesh since he joined us during the formation of CONSOL CO. Resources LP, and MLP, which was public in 2015. Since then, he has been an integral part of our team. And I've had the opportunity to observe him grow and take on more responsibility. In addition to his continued role as our Chief Financial Officer, he will also oversee our marketing, business development, and environmental and sustainability efforts. I have the utmost confidence in his ability to take on an expanded role in the company, and he is well-suited for the task. Furthermore, the Board has asked, and I have accepted to extend my employment term by an additional year to December 2024 to ensure our long-term succession plan.  Moving on to our financial and operating performance, CONSOL Energy finished 2022 as a record year in its history as an independent public company on multiple fronts, including one of the key metrics we measure ourselves against, free cash flow generation. As a result, we've advanced some of our key strategic initiatives during the year. First, our strong free cash flow generation allowed us to meaningfully accelerate progress toward our debt reduction goal and we made debt payments of nearly $300 million in 2022. Second, our free cash flow, in conjunction with our robust contract book, bolstered our ability to initiate and enhance shareholder return program during 2022, even while we were still at work reducing our outstanding debt levels. We paid multiple dividends during 2022, and resumed share repurchases at the end of the year. Third, our strong free cash flow enhanced our ability to reinvest in our business. During the fourth quarter, we restarted the 5th longwall at the PAMC, and shipped the first train of low-vol metallurgical coal from our Itmann Mining Complex. Let's now discuss our operational performance. On the safety front, our Bailey Preparation Plant and CONSOL Marine Terminal each had zero employee-recordable incidents during the full-year of 2022. The PAMC finished the year with a total recordable incident rate of 1.72 which was approximately 63% below the national average for underground coal mines. Coal production at the Pennsylvania Mining Complex came in at 6.1 million tons in Q4 '22, an increase compared to 5.6 million tons in the prior-year period. Production improved this quarter compared to Q4 '21 due to the restart of the 5th longwall in mid December, 2022, in the absence of geological challenges which we encountered in October of 2021. From a productivity standpoint, measured as tons per employee hour, the PAMC ended the year on a strong note, and improved by 16% in Q4 '22 compared to Q3 '22, as we moved past the geological challenges we faced in the third quarter. The complex ended the year with production of 23.9 million tons. On the cost front, our PAMC average cash cost of coal sold per ton for Q4 '22 was $34.89, compared to $30.81 in Q4 '21. But this was a reduction of nearly $5.00 per ton compared to Q3 '22, when we saw increased costs due to operational and geological challenges. The delta compared to the prior-year period was due to ongoing development costs associated with the 5th longwall and continued inflationary pressures on supplies, maintenance, contract labor, and power costs at our operations. This brings our full-year 2022 average cash cost of coal sold to $34.56 per ton. The CONSOL Marine Terminal had a throughput volume of 3.6 million tons during Q4 '22. Terminal revenues for the quarter came in at $20.9 million, with CMT operating cash cost of $6.4 million. For 2022, the terminal had a very strong operational performance, finishing the year with 13.7 million throughput tons. Terminal revenue for 2022 came in at $78.9 million, which was by far the highest level in CONSOL Marine Terminal history. CMT finished the year with adjusted EBITDA of $52.3 million, marking its first year above $50 million and the fifth consecutive year above $40 million. Now, let's discuss our Itmann project. After accomplishing several milestones in the second-half of 2022, the ramp up to full run rate production at Itmann has been delayed due to multiple factors including supply chain bottlenecks, equipment delivery delays, geological inconsistencies, and staffing challenges. We expect these issues to be transitory, and we have recently made several changes that will help us achieve our goals. In the immediate term, the mine is focusing on fully staffing and optimizing two CM super sections before focusing on the third CM super section. Moving further into 2023, we expect the ramp up to full run rate production to occur around midyear. The Itmann preparation plant was commissioned in the third quarter of 2022, having been purchased, disassembled, relocated and reconstruction on our site in just over a year's time. We shipped nine trains of coal from the plant in Q4 '22, and sold slightly more than 200,000 tons of Itmann and third-party coal, in aggregate, during 2022. The Itmann product has been successfully marketed to both domestic and export customers. As we ramp up production and achieve consistency from our operation, our focus will shift to securing new business with strategic partners. On the marketing front, the demand for our PAMC product remained robust in the fourth quarter of 2022. We sold 6.2 million tons of PAMC coal at an average realized coal revenue per ton sold of $75.92 in Q4 of '22, compared to 5.6 million tons at $51.27 in the year-ago period. The significant per-ton increase was driven by the ongoing improvement in the coal markets over the past year due to persistent coal supply shortages leading to increased commodity pricing. Henry Hub natural gas spot prices averaged $5.55 per million BTU in Q4 '22, a 17% increase compared to the prior-year period. PJM West day-ahead power prices finished the quarter at $68.73 per megawatt hour versus $54.39 in Q4 of '21. Despite these quarter-over-quarter improvements, we have seen significant volatility in the energy markets beginning in late-2022 and continuing till the start of 2023. Natural gas spot prices were north of $6.00 per million BTU at the start of December, but retreated more than 40% by the end of the month. A very similar trend played out in the international API2 market which retreated almost 30% throughout December of 2022. These markers each further declined by 20% and 29%, respectively, through the month of January 2023 as warmer-than-normal weather has gripped much of the U.S. and Europe, leading to increased gas storage levels and coal inventories. Fundamentally, we believe that the supply of high-Btu coals is still constrained, and the demand for our product remains strong for the foreseeable future. In fact, the International Energy Agency recently estimated that annual global coal demand eclipsed the 8 billion metric ton mark for the first time in 2022, and expects demand to remain around this level through 2025. In the shorter-term, the majority of our sales books for 2023 is committed, and we have a very solid contracted position for 2024. This gives us the ability to be patient as we work to fill out our sales books and maximize value for 2024, and beyond. Despite some of the recent volatility, our sales team opportunistically increased our forward sell position by more than 8 million tons through 2025. We now have 23.9 million tons contracted for 2023, and 12.5 million tons contracted for 2024. With that, I will turn the call over to Mitesh to provide our financial update.
Mitesh Thakkar: Thank you, Jimmy, and good morning everyone. First, let me provide an update on our balance sheet management and capital allocation progress before discussing our financial results and 2023 outlook. We continued to make considerable progress on our stated financial priorities in the quarter. During 4Q '22, we generated $116 million of free cash flow, 70% of which was deployed towards continuing to reduce our gross debt levels. As such, we made total debt repayments of $292 million in 2022, and our gross debt level at year-end was $380 million. In fact, since CEIX went public, we have reduced our net debt by 86% or $647 million which translates to more than $18 per share of equity value creation based on our current shares outstanding. Since yearend, we reduced our gross debt by an additional $50 million by making discretionary payments in January 2023 of $25 million each towards to our Term Loan B and Second Lien Notes that were not included in our fourth quarter results. Furthermore, at the beginning of February we submitted an additional redemption notice for $25 million of our Second Lien Notes which will be redeemed during 1Q '23. These three pay downs worth an aggregate of $75 million will bring our gross debt level to approximately $3 million. We remain committed to the ongoing strengthening of our balance sheet. And now expect to fully retire our Term Loan B and Second Lien Notes this year. During 4Q '22, we slightly increased our unrestricted cash balance finishing the year with $273 million which led to a significant liquidity position of $572 million. On the shareholder return front, we are pleased to announce this morning that the Board of Directors elected to issue a dividend of $1.10 per share which marks our third dividend since announcing our enhanced shareholder return program in the third consecutive quarter increasing the per share amount. This payment will total roughly $39 million or approximately 34% of our 4Q '22 free cash flow and will be made on February 28th to all shareholders of record as of February 17th. During the fourth quarter, we also restarted our share repurchase program after a hiatus of approximately three years as we worked to improve our balance sheet and infuse capital in organic growth projects. Now with most of the capital spending complete on our Itmann project, the fifth longwall back up and running at the PAMC, significant reduction in our outstanding debt and a strong contracted position, the management team and Board of Directors believe that share buybacks provide another attractive avenue to create additional value for our shareholders. So far, we have opportunistically repurchased 124,000 shares of our common stock in December for $8 million at a weighted average price of $64.18 per share. We are also happy to announce this morning an increase to our enhanced shareholder return program which will become effective immediately in 1Q '23. We now plan to return a range of approximately 35% to 50% of quarterly free cash flows in the form of share repurchase and/or dividend which are subject to the discretion of the Board of Directors. As mentioned previously, we also expect to continue to allocate a significant portion of free cash flow towards additional debt reduction with the goal of retiring our Term Loan B and Second Lien Notes this year. Once this goal is achieved, we will consider further increasing the percentage of free cash flow allocated toward shareholder returns. Now, let me recap our fourth quarter and full-year 2022 financial results. This morning, we reported a strong fourth quarter '22 financial performance with net income of $193 million or $5.39 per diluted share, by far our highest quarterly earnings per share levels since becoming an independent public company in 2017. Additionally, we finished 4Q '22 with adjusted EBITDA of $240 million and generated $116 million of free cash flow. For the full-year 2022, we reported net income of $467 million or $13.7 per diluted share. Adjusted EBITDA of $807 million and incurred CapEx of $172 million. CEIX finished the year with free cash flow of $501 million marking our highest annual free cash flow level in the last 5 years and the fifth consecutive year of positive free cash flow generation since becoming an independent public company. We finished 2022 with a net leverage ratio near zero. Now let me provide our outlook for 2023, on the guidance front for the PAMC, we are expecting our 2023 sales volume to be improved by approximately 8% at the midpoint compared to our 2022 level due to the availability of our fifth longwall. As such, we are providing our 2023 coal PAMC sales volume range of 25 million to 27 million tons. The upper boundary reflects our past ability to produce at 27 plus million ton pace with five operational longwalls at the complex, which includes mining at a high efficiency factor, effective coordination with our transportation partner, and potentially strong spot market demand. The lower boundary considers the potential for unforeseen supply chain or operational challenges. The lower end also reflects our ability to run to the market if there is unexpected weakness due to weather or unforeseen events. The good news is that all our longwall mines are currently running well, and we are 90 plus percent contracted at the midpoint of our guidance range. On the pricing front, we expect our average realized core revenue per ton to be in the $78 to $84 range relative to 2022 levels, this range reflect our strong contracted position and allows for upward or downward movement in API to PJM invest power prices, as well as the potential to further optimize our sales portfolio. Our guidance is based on CAL 23 PJMS Power Price expectation of $49.58 per megawatt hour at the midpoint, and the sensitivity for every dollar per megawatt chain in PJMS power prices is approximately $0.10 per ton on our entire portfolio. For comparison, the average PJMS Power Price in 2022 was approximately $73 per megawatt hour. Additionally, the midpoint of our guidance zooms and API to benchmark price of $165 per metric ton. We expect our 2023 PMC average cash cost of coal sold to be $34 to $36 per ton. We are expecting our cash cost to be similar to 2022 on a per ton basis at the midpoint despite incremental volume given the potential for ongoing inflationary pressures on certain goods and services, we began to see some relief in cost pressures in the fourth quarter. And our supply chain and operations team constantly focused on identifying ways to minimize our cash front. The bottom end of our cost guidance captures the potential for deflation in key commodities, including power prices, as well as fixed cost leverage at the higher end of the volume guidance. Conversely the top end accounts for reduced tonnage or an improved commodity market which would be a net benefit to our cash margins but a headwind to our power and supply costs. At the Itmann Complex for the time being, we are limiting our guidance until we get the mine fully staffed and ramped up to full run rate production. As such, we are currently providing a 2023 production guidance range of 400,000 to 600,000 tons from our Itmann mine which is dependent on the timing of the ramp up. Once the Itmann mine achieves these milestones, we intend to provide more detailed Itmann Complex guidance similar to what we provide for the Pennsylvania Mining Complex. Lastly, on the capital expenditure front, we are providing a range of $160 million to $185 million for 2023. This range reflects some 2022 capital spending moving into 2023. Keep in mind that we started 2022 with a top end CapEx expectation of nearly $200 million, but only spent $172 million in the year. As we highlighted throughout last year, supply chain bottlenecks have delayed equipment deliveries, and extended lead times, which has pushed toward unplanned expenditures from 2022 into 2023. Throughout last year, and during our budget planning cycle, we have been very diligent in adjusting our rebuild and Lifecycle Management timing to better align with these longer lead times. We also expect to further our greenhouse gas emissions reductions efforts, and have approximately $10 million in the budget for this effort in 2023. With that, let me turn it back to Jimmy to touch on our key priorities for 2023.
Jimmy Brock: Thank you, Mitesh. As we embark on 2023, we have a few key areas of focus that we believe will further strengthen our company. First, we are laser-focused on wrapping up the Itmann mine to full run rate production by mid-year 2023. The Itmann Complex has now moved from the project team to our operations team. We have our key operations and management personnel dedicated to supporting the Itmann team and their staffing and ramp-up efforts. We are very thankful for the hard work and persistence from our Itmann team members. Now that they have switched to operations mode, we expect them to diligently work through the recent challenges and delays to ultimately deliver operational consistency. Second, our sales team remains opportunistic in its approach and remains focused on layering new business for 2023 and beyond, as well as continuing to optimize our contract book. We believe that one of CONSOL's strategic advantages is our ability to lock in contract duration, which allows us to generate positive free cash flow in all parts of the cycle and provides us the ability to benefit from strong markets for years to come. Third, reducing the debt on our balance sheet remains a major focus. We expect to hit our initial goal of $300 million gross debt level in Q1 of '23 and then continued towards fully retiring our Term Loan B and Second Lien Notes. We anticipate achieving these goals around mid 2023 as we simultaneously enhance shareholder returns including dividends and share buybacks. This continued debt reduction sets the company up for long-term success and facilitates additional avenues for growth and diversification. Finally, we are committed to increasing our free cash flow allocation to shareholder returns as our debt levels decline. As promised, we increased our shareholder return percentage due to our expectations of achieving our $300 million gross debt goal this quarter. Once our Term Loan B and Second Lien Notes are retired, we expect to consider a further increase to our shareholder return allocation. We are very pleased with our results and execution in 2022, which was a record year for us in a lot of ways. And we remain even more excited about the future. I want to personally thank all our employees for their dedication and hard work which drove these exceptional results safety and compliantly. I am extremely proud of this team and CONSOL Energy. With that, I will hand the call back over to Nate.
Nathan Tucker: Thank you, Jimmy. We will now move to the Q&A session of our call. At this time, I'd like to ask our operator to please provide the instructions to our callers.
Operator: [Operator Instructions] And our first question here will come from Lucas Pipes with B. Riley Securities. Please go ahead.
Lucas Pipes: Thank you very much, operator, and good morning, everyone.
Jimmy Brock: Good morning, Lucas.
Lucas Pipes: Jimmy, I want to turn to the -- and Mitesh, I want to turn to the balance sheet for my first question. It sounds to me like you're looking at $190 million of gross debt as a kind of near-term target, a little bit more conservative from the $300 million gross debt target previously. What caused that, and is that the right interpretation, $190 million, or maybe did I miss anything? Thank you very much.
Mitesh Thakkar: Thank you, Lucas. I think from a gross debt perspective, the way we think about it is we originally had a target of $300 million. We have today said we're going to retire all our Term Loan B and Second Lien. So, if you look at the announcement that we made this morning about additional debt reduction for the month of January, we are sitting with about $39 million on Term Loan B, and $74 million on the Second Lien. So, combined, both of those is just over $100 million. I think when those two are retired; you're going to be just north of $200 million, so you are in the ballpark. And really what makes up those just over $200 million is about $103 million of our Baltimore bonds and $75 million of our PEDFA bonds, those -- both of them are tax-exempt securities, as you know, and then the equipment leases, which at the end of the quarter, our forecast is going to be around $34 million.
Lucas Pipes: That's helpful, thank you. And the thought here is just to be a little bit more conservative given kind of broader -- capital market conditions?
Mitesh Thakkar: Yes. So, the Term Loan B and Second Lien, both have near-term maturities, as you know. When I say near-term, Second Lien has a little bit further than the Term Loan B. Term Loan B is maturing next year. And the idea is we want to get away from more interest rate-sensitive debt, but also right now both of these securities, at the end of Q1, are going to be under $50 million. So, they're not what you would call like necessarily appropriately sized. I mean, this will allow us to create some bandwidth if in future, if we want to do something and raise some debt, if capital market conditions warrant we can do just one ticket or something a little bit larger, if at all we want do it, but it's mostly cleanup stuff.
Lucas Pipes: Okay, thank you for that. And then, turning to the commercial side, could you share some details as to the price of the tons that were sold incrementally during the quarter for both 2023 and 2024? And then specifically for 2024, you have 12-plus million tons contracted to date. Roughly what's the split between domestic and export? And what would be the price on those 2024 commitments? Thank you very much.
Robert Braithwaite: Sure, Lucas, I'll take that. We've increased our [sold] [Ph] position as you know, this morning, by 2.1 million tons for 2023. Last quarter, if you recall, we said our pricing was in the upper 70s based on the power forwards of that date. If you go back and look, power was at -- around $68.00, API2 prices were around $200. So, fast-forward to today, we said our midpoint in the guidance is based on $49.58 and $165 for API2. That basically would imply that our portfolio dropped about $5.00 quarter-on-quarter just based on power and API2. However, I can tell you that our pricing of the 23.9 million tons is actually improved. So, when you take a look at that and you model that, you'll notice that the pricing that we sold -- that the tons that we sold incrementally, the 2.1 million tons is certainly north of $100 per ton. Then on your second question, on the 2024 volume of 12.5 million tons, about 2.5 million tons are linked to power, 3.2 million tons are currently sold into the export market, and 6.6 million tons are domestic and fixed price.
Lucas Pipes: All right. Any sense on the average price for 2024, did I miss that?
Robert Braithwaite: We're not providing guidance today for 2024. However, I would tell you that it's sitting between our 2022 and 2023 pricing right now.
Lucas Pipes: All right, I appreciate the detail. Thank you and best of luck.
Robert Braithwaite: Thank you.
Jimmy Brock: Thanks, Lucas.
Operator: Our next question will come from Nathan Martin with The Benchmark Group. Please go ahead.
Nathan Martin: Hey, good morning, guys. Thanks for taking the questions.
Jimmy Brock: Morning.
Nathan Martin: Bob, could I actually get a similar breakdown for 2023 tons that you just gave Lucas for '24? In other words, how many tons are fixed versus how many tons are open to fluctuations in index pricing, whether that's PJM West or API2?
Robert Braithwaite: Sure. So, we have -- again, we have 2.5 million tons in 2023 that's linked to power, we have 8.2 million tons right now slotted for export -- or contracted, I should say, for export. Of that 8.2 million tons, we have about 5 million tons that are linked to API2 prices, and then of that 5 million tons, 3 million tons of those have ceiling and floor prices incorporated in the contracts. And then, the balance or 13.2 million tons is domestic and fixed price.
Nathan Martin: Very helpful, Bob, appreciate that. And I guess sticking with API2 for a second, what -- with the pullback we've seen, what did netbacks look like at today's prices? Is that -- are still open for you guys? Would also be helpful to get any kind of sensitivity there? I know you said you're assuming a $165 price in your pricing guidance for '23. And then, you also mentioned that your long-term export contract with the collars for the year. Any color on where the netbacks are relative to the floor and ceiling on those tons? Thanks.
Robert Braithwaite: Sure. I think we mentioned in the past that the coal that we sell into Europe when you look at an API2 price use somewhere around 65% to 70% of that price, and that gets you back to an [FOB] [Ph] mine price, and that, again, takes into account discounts, quality adjustments, along with freight. So, when you're looking at $140 API2 price, you're talking somewhere in that $90-range back to the mine. And again, that's really specific to coal that we're selling into Europe. As far as sensitivity is concerned, I will tell you it's not linear because we do have different floors and ceilings across several contracts. But a good estimate is for every dollar change in API2 prices; our overall portfolio change is approximately $0.10, so it has a very similar sensitivity to our power price as well. But again, that depends on loading months of vessels. Most of our contracts are priced based on the monthly average of the API2 price of month of it loading. But as we do with our netback sensitivity, we'll continue to refine this as well every quarter.
Nathan Martin: That's very helpful, Bob, appreciate that. And then, the domestic side, that we've also seen [indiscernible] weaken as well given the mild start to the winter season. How are utilities from a stockpile perspective at this point, if you guys can see? Is there any possibility of deferrals as we move forward with the year or is it still a little early to think about that?
Robert Braithwaite: Yes, I think it's early, Nate. There certainly has been an increase in natural gas production since the end of last year. But I really think the biggest issue here is really demand, right? I don't believe that there is that much of a supply response from the coal side right now. And I personally believe that as coal supply remains tight and I expect that to continue as we head into summer. Right now, inventories across domestic customers are at comfortable levels. However, that can change very quickly as we start seeing demand out of the U.S. and Europe for that matter. And I also tell you that many of our customers were sitting at less than 20 days of inventory heading into winter. As mentioned this past month, certainly afforded many to continue to build what I would call healthy levels. However, we do have several customers that are still telling us that they likely will have some spot needs to the back-half of the year, so, very positive there.
Jimmy Brock: And to Bobby's point, most of these coal inventory builds that we have seen, they are certainly not due to oversupply. They are related more to demand. And, we expect that second-half year we can't do anything with the weather unpredictive, but if that changes, we have a difficult summer up, we have had those inventory levels could become less than normal pretty quickly.
Nathan Martin: Appreciate that, guys. Any comments or thoughts on coal to gas switching that's occurring today, you know, net gas around $2.50 or so?
Jimmy Brock: I mean we are definitely seeing gas dispatch little bit more now than it has in the past just based on this $2.50 range and where coal prices are. But, again I would tell you that as soon as demand picks up, I think you are going to see more coal units come online.
Nathan Martin: Okay. And then, just one final question if I may, any thoughts on cadence of shipments or even pricing as we move through the next four quarters, I think one of your peers noted that it was potentially sold out for the first-half. Expected pricing to improve in the second-half as we see hopefully the expectation for Europe will be back up in the market shore up supplies for the next winter.
Jimmy Brock: I think you ask [indiscernible] the question. We're not too concerned about the first-half of the year. We are pretty much committed and sold to that. Back-half is where we have some open comps. And Bobby can go into more detail there. But, we still feel really good about our ability to move coal into international markets and demand picking up second-half of the year.
Robert Braithwaite: Yes. Again, I think Europe there is a potential opportunity there for the second-half of the year. Right now, the gas that they have in storage today is Russian gas. And once that depletes, they could be relying fully on LNG. And then, I also I think is important message is that our fifth longwall Enlow Fork is our low sulfur longwall. We have been talking about it. It's the best quality. It's certainly opening up new markets for us. And also, it gives us the ability to ship more into the crossover market. And based on where [highwall B] [Ph] prices are today, that's the best market out there that's yielding triple digits back to the mine. So, we will continue to focus on those opportunities. And obviously, sell our coal to places that yield the best realization back to us.
Nathan Martin: Great. Really appreciate the information, guys. Thanks for the time. And best of luck in '23.
Jimmy Brock: Thanks, Nate.
Operator: [Operator Instructions] Our next question here will come from Ryan Rahinsky with Blue Outlier Capital. Please go ahead.
Ryan Rahinsky: Hi, good morning. Congrats on the quarter. I am just trying to get some more color on the shareholder returns going forward. I am really happy to see that you guys have started buybacks this quarter. Any idea of the buybacks or the percentage of shareholder returns going forward? This quarter shareholder returns are much more skewed towards dividend. And I am just wondering if that can be expected going forward, or whether dividend and buybacks will be more balanced?
Robert Braithwaite: Well, going forward, as we said we had that goal of $300 million of gross debt. And we saw this happening in Q1 is why we started our share repurchases. In Q4, we purchased 124,000 shares or about $8 million. And we expect to raise the return to shareholders 35% to 50% as we continue to get rid of debt. But if you look at it, we actually paid down $647 million in debt since 2018. And sometimes, we lose sight of that. But, that's created equity value of $18 a share if you look at our 35 million shares outstanding. So, what we will do is we are lucky enough to have great free cash flow generation. And if things hold, I think what you will see us do is steadily increase that number. And we will able to do all three. Or, if one provides a better return back to the shareholders, we can certainly pivot to that way. But currently, our plan is to stick with what Mitesh mentioned in his remarks, we want to retire the term loan B as well as the second lien and continue to pay back return to shareholders in forms of dividend or share backs. And we really haven't thought too far about which way we lean on -- do we go heavier on dividends? Or do we do all share buybacks? That will be a Board decision, and we'll have a discussion with them when the time comes. The good news is we believe that we're going to generate enough free cash flow to do all those things pretty quickly here in 2023.
Ryan Rahinsky: Thank you. Appreciate the additional color.
Jimmy Brock: Thank you.
Operator: And our next question will be a follow-up from Lucas Pipes with B. Riley Securities. Please go ahead.
Lucas Pipes: Thank you very much for taking my follow-up question. I just wanted to try to get a little bit more color on the domestic market. How much buying of coal is going on today, are utilities active today? And where would you place the domestic market for 2023 and 2024? Thank you very much.
Robert Braithwaite: Well, Lucas, of the 8.3 million tons that we contracted for through 2025, 5 million was to a domestic customer under a term deal through 2025. So, again, I guess this just shows the fact that people are out there buying under term contracts, they are concerned about supply going forward. We're also in discussions with another domestic customer of our term deal as well. And then, when you look at the export side, I can't say much more, but we are in discussions with several end users in both Europe and Asia on term deals, and I'm hopeful by our next earnings call, we'll have a little bit more to report there. The pricing is kind of in line with where markets are at the time we conclude those deals. I mean we look at power and gas every time at that present time, we're concluding. And basically coming up with what we feel is the right netback and I think the customers are doing the same. So, that continues to fluctuate at $2.50 gas price, obviously, the mine prices aren't as attractive as they were when they were $6, but there's still certainly profits being made pretty much all cycles through the $2.50 through $7 gas price.
Lucas Pipes: I really appreciate that color, Bob. And you touched on it there, obviously, like domestic energy markets changed fairly dramatically since the beginning of December, more than a 50% drop. How much have attitudes changed? Is it too early to tell? Or is this having a real impact when you sit down with your utility customers?
Robert Braithwaite: I'd say it's too early to tell. I think you're going to see a lot of utilities, pretty much take a seat on the sidelines for the next couple of months, kind of see how this market evolves. As Jimmy mentioned, inventory levels are, I would say, comfortable, but these can change very, very quickly. And we saw that happen last year. And once we get into summer, if it is a game changer, I think you're going to see a lot of utilities come to the market to try to secure their supply for the long-term. So, I'd say, give it two, three, four months. And by the time we have our next earnings call, we probably -- we will have, I should say more color and be able to give some more commentary on that.
Jimmy Brock: And Lucas, I'll add that, I think we have significant flexibility, as you know of moving into domestic and export market depending on where the best arbitrage is, right? And this is clearly visible in terms of the amount of exports that we are going to do this year versus last year despite having higher production numbers, right? So I think we are going to be market-driven. And as markets change, we'll just adapt to it. And our terminal at automotive allows us that flexibility.
Lucas Pipes: Very helpful. Thank you. Along this vein, do you have a target or a rough target for 2024 split between domestic and exports?
Robert Braithwaite: Lucas, I would suggest to you, we could see exports climb to 14 million tons or thereabouts in 2024. I mean, obviously, we'll continue to watch the market and see where the best arbitrage is. But I think 14 million tons is a possibility for 2024.
Lucas Pipes: Thank you. And then, back to the domestic market. Have you heard in the industry or have you experienced any requests from utilities to push out coal deliveries?
Robert Braithwaite: Nothing as of late, I still think it's too early. I mean we're one month in. I'm not getting overly excited. Yes, January didn't come in as expected. But again, look what happened last year, really the demand started hitting, the Russia-Ukraine war was at the end of February, we started seeing an uptick in the export business. And then, domestically, they were -- many utilities were burning gas because they didn't have coal in the summer months. So, that could potentially repeat itself, and we're keeping a close eye on it. But the good news for us is we're well contracted throughout the entire first-half of this year. Most of our open position or almost all of it's in the second-half. And if that does come to fruition, we might move more into the domestic market. We'll just continue to watch and see what presents the best opportunity for us.
Lucas Pipes: I really appreciate all the color. Thanks again and best of luck.
Jimmy Brock: Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Nathan Tucker for closing remarks.
Nathan Tucker: Thanks, Joe. On behalf of CONSOL Energy, I'd like to thank everybody for their time and interest this morning, and we look forward to speaking with you on our next earnings call. Thank you.
Operator: The conference has now concluded. Thank you very much for attending today's presentation. You may now disconnect your lines.